Operator: Thank you for joining us for this morning’s Navios Maritime Holdings Fourth Quarter and Full Year 2015 Earnings Conference Call. With us today from the Company are Chairman and CEO, Mrs. Angeliki Frangou; SVP of Commercial Affairs, Mr. Tom Beney; Chief Financial Officer, Mr. George Achniotis; and SVP of Strategic Planning, Mr. Ioannis Karyotis. This conference call is being webcast. To access the webcast, please go to the Investors section of Navios Maritime Holdings’ website at www.navios.com. You’ll see the webcasting link in the middle of the page and a copy of the presentation referencing today’s earnings conference call will also be there. I’d now like to read the Safe Harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Holdings. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Holdings’ management and are subject to numerous material risks and uncertainties which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Holdings’ filings with the Securities and Exchange Commission including the Company’s most recent 20-F. The information discussed on this call should be understood in light of such risks. Navios Holdings does not assume any obligation to update the information contained in this conference call. Thank you. We’ll begin this morning’s conference call with formal remarks from the team and after we’ll open the call to take questions. Now, I’d like to turn the call over to Navios Holdings’ Chairman and CEO, Mrs. Angeliki Frangou, Angeliki?
Angeliki Frangou: Thank you, Laura. Good morning to all of you joining us on today’s call. For the full year of 2015, we recorded revenue of $480.8 million and adjusted EBITDA of $133.4 million. Slide 3 provides a 30-year view of the BDI. We have experienced as difficult as a market ever existed in shipping, highlighted by the recent low of 290 of the BDI, which is 43% lower than the all-time low established only a year ago. The average BDI of 350 for 2016 is the lowest recorded since 1986. While this extended period of weakness in the dry bulk industry is unprecedented, there are some green shoots suggesting the nuclear winter is toward the end. Scrapping is at record pace. And I do not foresee any material strengthening in the charter markets that would ask to postpone further scrapping, as we experienced in 2013. Moreover, the new order book had orders for only 18 million deadweight tons in 2015 and zero new orders year to date, so buyers are acting cautiously. Finally, cancellations or slippage of new building deliveries average about 40% over the past one year [ph] and this year it’s almost 60%. As a result of the combination of slippage, scrapping and no new orders, we anticipate negative fleet growth in the dry bulk industry in 2016 and 2017. On the demand side, our view is at the negative feedback [ph] from the price of oil, because much of the diversification is in the commodity complex. While China is traditionally from an infrastructure led than consumer led economy, growth continued there and elsewhere, albeit slowly, and demand for the dry bulk materials will continue as well. Taking on these green shoots into consideration, we imagine [ph] that we will see a normalization of the charter rate above OpEx. In light of the prolonged market weakness, we have adopted measures to reduce our cash requirements, without having to cannibalize our fleet or otherwise sell off assets and while honoring our obligations. The goal is to provide additional runways until charter rates improve. As you know, we no longer pay dividend on our common stock and as announced today, we intend to defer dividend on the Series G and Series A of the preferred stock until dry bulk market conditions improve. Please turn to slide four. Navios Holding controls a diverse fleet of 63 modern vessels with an average age of 7.6 years. The fleet age is about 13% less than the industry average age, which will be significant when the market turns and we have additional earnings power from the use of our vessels. We have developed and maintained cost savings from our size in terms of purchasing power. We also have operating leverage from our world class group of employees and technical capabilities. Because of this discipline, our cost is 41% below the industry average. Slide five highlights our current corporate structure. Navios Holdings volume primarily derives from five areas, the dry bulk fleet of Navios Holdings and four principal operating subsidiaries. The market is valued at total as less than some of the public parts. Navios Holdings ownership interest in NMM and NNA are worth over $1.5 per share which in itself is more than NM’s current share price. In slide six, we show how we have positioned NM to weather the current difficult market. Our balance sheet is strong with $176.9 million of cash as of December 31, 2015 and flexibility with about 85% of our total debt in bonds that have no loan to value maintenance covenant. We also issued non-dilutive perpetual preferred stock which we are not obliged to redeem. We expect to receive $14.6 million in annual distribution from Navios Acquisition and we will have $41 million annual savings from suspending a common stock dividend and deferring our preferred stock dividend. We have 65.9% of our fleet available days fixed for 2016. In fact when we drill down to the 2015, we are 76.2% fixed for the first half and 55.7% fixed in the second half of the year. We are only 31.2% fixed for 2017 and now also benefit from any recovery in the market. Finally, our scale provides operating efficiencies with an OpEx of about 41% less than the industry average. NM provides shareholders a diversified investment vehicle with investments in the tanker logistics and dry bulk market offering some perfection to the weak dry bulk market. NM owns 46.6% economic interest in Navios Acquisition a public tanker company, demonstrating significant financial and operating strength. Navios Partners today is generating a lot of cash from its long-term charters. Navios Logistics provides stable growth and exposure to the port and logistics business in South America. Slide seven shows our strength through diversifying the large sectors of shipping and logistics. Navios Holdings directly invests in dry bulk. However, NM [ph] company represents investments in tankers, containers and ports all with strong balance sheet, cash flow generation and reinvestment dynamics. While the value of these entities may not be currently appreciated by the market, this inherited value will be recognized over the longer period. For example, in the net rate well below the NAV [ph] for the price of less than 3.5 times 2015 earnings. We believe that in the long term, investors will recognize the favorable prospects of the tanker sector that similar condition [ph] will be due to Navios Partners, Navios South American Logistics, and Navios Midstream. Slide 8 highlights our strong liquidity position. Our conservative balance sheet has net debt to the capitalization of 54.6% and cash of $176.9 million. As to our cash requirement, this Company has no committed shipping growth CapEx and no material debt maturities until 2019. NM also agreed that 50 million working capital facility from NNA providing us with additional liquidity in the current stressed charter rate environment. Slide nine provides an overview of our operating leverage and we will involve in this effort because it is an essential scale for the transportation company. Unlike many of our competitors, we manage our vessels in-house. By doing so, we have internalized cost savings as with the scale and increase our purchasing power. Focus on Navios Holdings, you can see that NM has developed significant efficiencies from economies of scale, as our OpEx is 41% below the industry average. This equals to $31.7 million in cost benefits in 2015. As you can see Navios Holdings has shared its cost sharing within the group. Slide 10 sets for Navios low cost structure. For 2016, we have fixed 65.9% of available days including our index linked at the Navios contracted daily charter-out rate of $10,159 per day. Our fleet open days plus days contracted with industry charters could provide incremental revenue with an improvement in charter market. I would like to remind you, as recorded, our breakeven analysis includes all operating expenses, dry dock expense, charter-in expense for our charter-in fleet, G&A expenses as well as interest expense and capital repayment. I would like now to turn the call over to Mr. Tom Beney, Navios Holdings’ Senior Vice President and Commercial Affairs, Tom?
Tom Beney: Thank you, Angeliki. Slide 11 presents our core fleet consisting of 63 dry bulk vessels totaling 6.4 million deadweight. We continue to be one of the largest U.S. listed dry bulk operators in the world, established over 60 years ago. We have 59 vessels on the water with an average age of 7.6 years. This is 13% younger than the industry average. Navios Group’s total fleet of a 160 vessels includes 49 tankers, 20 container vessels and another 28 dry bulkers. Turning to slide 13, GDP forecast for 2016 and 2017 suggests continued demand. Emerging market growth, predominantly in the Asian region drives dry bulk demand. In the largest oil consuming economies such as China, India, Japan, Europe and the USA, low energy prices tend to stimulate GDP growth over time, further aiding the dry bulk market, as was experienced in the late ‘80s. Since 2001, world drive bulk trade has increased 5.6% CAGR [ph] up to 2014. Between 2014 and 2015, dry bulk trade remained flat; the 2016 forecast to show the small increase in trade of about 1%. Turning to slide 14, iron ore, coal and grain represent about 63% of total dry bulk trade for us. Trade in these commodities grew at an annual rate of about 177 million tons between the period from 2010 to 2014. The contraction in these commodities in 2015 was driven by a 60 million ton decline in seaborne coal. Minor bulks which make up the remainder of dry bulk trade grew during 2015, bringing flat demand versus ‘14. The fourth quarter of 2015 failed to produce the expected seasonal upturn in rates. Disappointing coal imports, low steel production, less ton miles, increased supply chain efficiency and continued fleet growth, all contributed to a fall off in rates during the fourth quarter. As we entered the first quarter of 2016 and the seasonal slowdown in dry bulk shipments, the BDI has continued its downward trend to a new low of 290, reached February 10th and 11th. As Angeliki described, the market is in unprecedented territory. High rates for all sizes have averaged between $2,500 and $3,200 daily for the month of February, well below industry OpEx levels, this encourages idling lap and increased scrapping for shifts 15 years or older. Going forward, we should see some signs of improvement. Steel production in China typically picks up in the second quarter and demand for agricultural products in Asia remains very strong, combined with an estimated record South American crop. The Chinese government continues to simulate domestic markets by increased loan initiations, helping the housing market to recover. 2016 major trades are forecasted to grow by approximately 1%. Slide 15 shows continued demand for iron ore in China; steel production in China decreased by approximately 2.7% in 2015 versus 2014. Chinese seaborne iron ore imports actually increased in 2015 by almost 3% as the expensive domestically produced iron ore, which contracted by about 8%. That trend is expected to continue. Chinese iron ore mines cannot compete with the high quality ore coming from Australia and Brazil at current low prices. The cost of iron ore has remained very low but since mid January 2016 prices have rebounded by about 28%, as we enter the seasonal pickup in demand for Chinese steel. The volume of Chinese imports in 2016 are expected to remain approximately the same as 2015. Australia and Brazil will maintain or grow market share in China and exports from Canada, Sweden, South Africa, Chile and others will decline. China export is a record 111 million metric tons of steel during 2015 versus 92 million metric tons in 2014, a 21% rise year on year, supporting Chinese steel production. Overall, worldwide seaborne iron ore is expected to decline slightly by about 1% in 2016. Turning to slide 16, as you can see in the bottom right table, Chinese and Indian coal imports both declined year on year in 2015 by about 19%. Indian imports started 2015 with strong growth but domestic coal production expanded rapidly, causing imports to decline later in the year. New Chinese coal regulations help support the huge domestic coal industry. Chinese total coal imports declined by approximately 80 million tons over 2015. World seaborne trading coal contracted by approximately 60 million tons, over the same period. Going forward, coal will continue to be a major energy source used to produce electricity. The potential for coal use in India is substantial, close to 800 million people that’s over 2.5 times U.S. population use wood based fire to cook and have a little or no refrigeration. Southeast Asia has over 200 gigawatts of coal-fired generation under construction, or planned to be operational between now and 2019. Much of the coal for these new plants will be imported by the sea. In slide 17, we see as of January 1, the 2016 order book stood at 92.7 million deadweight. In January, the latest full month statistics, 8.6 million deadweight is actually delivered 20 million deadweight, which was expected, a 57% non-delivery rate by deadweight. If we assume 40% non-deliveries, then we estimate 2016 will see about 55.6 million deadweight actually deliver. With the current 2016 scrapping rate annualized, supply could experience negative fleet growth this year. The order book reduces dramatically in 2017 and 2018, as shown on the slide. In today’s market with charter rates are low, the fleet could contract further going forward, as there is little incentive to add orders to new ships. Turning to slide 18, scrapping for 2015 at 30.5 million deadweight was the second highest ever recorded. The Capesize vessels were of particular note with 95 vessels scrapped and 88 vessels delivered. The scrapping pace since we started 2016, has been dramatic being highest ever recorded as charter rates remain very low. Scrapping totaled 8.6 million deadweight through the 19th February, which puts us on an annualized pace of about 63 million deadweight for 2016. The Capesizes contracted so far this year as 27 vessels scrapped versus 21 delivered. Panamax have seen 34 vessels scrapped versus 31 delivered. Slide 19 gives an illustration for growing scrapping pool. The average age of scrapping has reduced to about 23 years from 32, five years ago. During the last 12 months we have regularly seen vessels scrap to 20 years or under and recently a number of 15-year old dry bulk vessels scrapped. A low rate environment encourages owners to scrap younger vessels. As the age reduces, so the scrapping pool increases. And the right hand chart shows the current scrapping pool. Vessels of 20 years or over total 70 million deadweight or about 9% of the total dry bulk fleet, growing to approximately 140 million deadweight or 18% of the total fleet for vessels 15 years or more. Slide 20 brings the three ingredients of the order book, non-deliveries and scrapping together to show net fleet growth. The chart illustrates the potential for negative fleet -- as negative fleet growth in 2017 scrapping has dramatically increased, as already mentioned and non-deliveries have also increased to approximately 57%. That trend of negative fleet growth becomes more compelling as the order book in 2017 reduces further, and we expect non-deliveries of scrapping to continue. Turning to slide 21, we can see how a number of units, the trend of negative fleet growth has become establishing capes during 2015 and continued in 2016. Panamax seems to be following that trend and has the largest pool of older vessels with 21% 15 years of age or older. Slide 22 is a recap of the trends and delivery scrapping and net fleet growth since 2009. Net fleet growth is reduced from a peak in 2010 of about 14% to last year’s low of 2.4% with 2016 showing potential flat to negative fleet growth and 2017 and 2018 further decreasing going forward. I would now like to turn the call over to our CFO, George Achniotis for the Q4 financial results. George?
George Achniotis: Thank you, Tom. Please turn to Slide 23 for a review of the fourth quarter and full year financial highlights. Adjusted EBITDA for the quarter was $33.6 million compared to adjusted EBITDA of $37.8 million in 2014. EBITDA and net loss for the first quarter and the full year of 2015 was adjusted to exclude $17.5 million loss related to the Navios Partners insurance gain and $15.2 million accelerated amortization of intangibles relating to the early delivery of two claimer [ph] charter-in vessels. EBITDA for Q4 and the 12 months of 2014 was adjusted to exclude $14.3 million gain from the sale of Navios Acquisition vessels from Navios Midstream Partners. In addition, EBITDA for the full year 2014 was adjusted to exclude $11.5 million non-cash loss on Navios Partners shares and $17.4 million portion of loss on Navios Logistics bond extinguishment. The decrease in adjusted EBITDA is mainly attributable to 27% decrease in the current charter equivalent rate achieved, reflecting the prolonged downturn of the market. The decrease was partly mitigated by $4.8 million reduction in G&A, mainly due to reduced compensation. During the quarter, we recorded an adjusted net loss of $27.9 million or $0.30 per share compared to an adjusted net loss of $19.2 million in 2014. The reduction is mainly due to a decrease in EBITDA. Adjusted EBITDA for the full year of 2015 was $133.4 million compared to $191.4 million in 2014. The decrease was mainly due to a 34% reduction in the TCE rate achieved in 2015 compared to ‘14. The reduction was mitigated by the improved results of Navios Acquisition and Navios Logistics and by an $11.4 million reduction in G&A expenses. Adjusted net loss for 2015 was $104.3 million compared to an adjusted net loss of $41.5 million in 2014. Similar to the quarterly results, the reduction was mainly due to the decrease in EBITDA. Please turn now to slide 24. We continue to maintain a strong balance sheet with the healthy cash balance. At December 31, 2015, we had $177 million in cash compared to $174 million at the end of Q3 and $250 million at December 31, 2014. The reduction from at the end of ‘14 balance is mainly due to a $16 million participation in the equity raising of Navios Partners in February of ‘15, about $14 million participation in Navios Europe II and a $31 million repayment of debt in January. In Q4 and year to date, we bought approximately 1.15 million shares at an average price of about $0.90. Our shares outstanding are about 105.5 million. Net debt to book capitalization was 54.6% compared to 49.3% at the end of last year. Over the next slides, we’ll briefly review our subsidiaries. Please turn to slide 25. Navios Holdings owns just over 20% of Navios Partners including a 2% GP interest. Navios Partners owns a fleet of 31 vessels. During the fourth quarter, Navios Partners eliminated its dividend. It is [ph] time of distress in both the MLP and dry bulk markets. Navios Partners has the ability to generate significant free cash flow, even in the current weak charter environment. This can be the basis of repositioning the Company as a unique platform for growth in the distressed environment. Turning to slide 26, Navios Holdings has 46.6% interest in Navios Acquisition. Navios Acquisition has grown to become one of the largest publicly-listed tanker owners among its U.S. and European peers with one of the youngest fleets in the water. The fleet consists of 38 tankers -- with an average age of under five years. In Q4 2014, Navios Acquisition formed Navios Midstream Partners, an MLP with 6 VLCCs, providing a platform in dry bulk sector for dividend seeking investors and bringing flexibility and liquidity to NNA. Navios Acquisition has provided over $53 million in dividends since it started operations in 2010. Now, we’ll turn the call over to Ioannis Karyotis for his review of the Navios South American Logistics results, Ioannis?
Ioannis Karyotis: Thank you, George. Slide 27 provides an overview of the Navios Logistics business and slide 28 presents the Company’s highlights. We are continuing the development of a new iron ore terminal. We expect the total investment to be approximately 150 million for a minimum annual EBITDA of 35 million under our take-or-pay contract with banks. Slide 29 reviews our results. EBITDA and net income for the 12-month period ended December 31, 2014 were adjusted to exclude the $27.3 million write-offs of deferred finance costs and fees related to the refinancing of the 2019 senior notes. There is no adjustment in the 2015 figures. In the past five years, Navios Logistics EBITDA has been growing at 20% CAGR. In the fourth quarter of 2015, EBITDA increased by 4% to $15.9 million. Looking at the port segment, revenue decreased 60% in Q4 2015, or by $19.9 million. The decrease is mainly attributable to $19.1 million lower sales of liquid products, the low margin opportunistic trading part of our latest productivity. As a result, Q4 2015 EBITDA in the liquid port decreased by 0.6 million. In the dry port, although business was strong with 66% higher volumes of cargo transit compared to Q4 2014, EBITDA decreased by $0.9 million due to the minimum guarantee revenue [indiscernible] contracts. Overall, the decrease in Q4 2015 port segment EBITDA was $1.5 million. Barge segment EBITDA increased by 64% to $10.5 million. The increase in EBITDA is mainly attributable to the fact that we reduced our volume expenses due to less iron ore trips under our COAs, while we earned the full minimum guaranteed revenue under our contracts. In addition, our operating expenses decreased mainly due to a reduction in repair and maintenance, and personal costs. Cabotage business EBITDA decreased to $0.9 million from $2.3 million in the same period last year, mainly due to higher operating expenses. Net income in Q4 2015 was $1.4 million compared to $1.8 million last year affected mainly by higher depreciation and amortization expenses, partially mitigated by higher income tax benefit. Turning to the financial results for the year ended December 31, 2015, revenue decreased by 7% to $251 million, due to lower sales of liquid products. EBITDA increased by 17% to $80.4 million on the back of strong performance in the port terminals and barge business segments. And adjusted net income more than doubled to $22.2 million. Please turn to Slide 30. Navios Logistics had a strong balance sheet. Cash at the end of 2015 was $81.5 million compared to $71.9 million at the end of 2014. Net debt to book capitalization was 42% compared to 45% at the end of 2014. In addition, we have available undrawn committed export financing related to the new iron ore terminal at very favorable terms. The export financing is for up to $42 million including interest and other related costs, and set an 8.5-year term. Now, I would like to turn the call back to Angeliki.
Angeliki Frangou: Thank you, Ioannis. This completes our formal presentation. We open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Noah Parquette of JP Morgan.
Noah Parquette: I just wanted to start off with a high level question. You’ve done a lot of things to improve your liquidity situation. Are you comfortable where you are now or are there other levers you can pull? And maybe you can talk about what are the things you’re looking at along that front? Thanks.
Angeliki Frangou: What we did is we did a very deep dive into Company and we tried to self [indiscernible] requirement. So, the liquidity we have today is sufficient through 2017, in the current market environment. We saved about $60 million, $40 million from suspending dividends in the common shares and the preferred shares, $11.5 million on G&A and $6 million on operating expenses of the vessels. Today we have 3,300 OpEx in our vessels, which is one of the lowest in the industry. And that gives us a competitive advantage and really gives us a runway until 2017. That was really the deep dive that has worked in order to be in this position.
Noah Parquette: So, switching to the logistics business, can you give some progress on where you are building out the terminal for the Vale contract; is it on schedule; do you still expect end of the year time frame? And is there any -- I just wanted to know, we’ve gotten question how secure is that contract, is there any ability for Vale to just walk away or what kind of compensation would Navios get if that happens or occurs?
Angeliki Frangou: We did report, we continue through, the construction is due to finish by the end of the year, on schedule. And we are very confident on the contract. The contract is under its law and is a take-or-pay. Another thing that is also from Vale that the group production continues and it’s something to keep in mind.
Noah Parquette: And then just for the numbers, how much has been spent on CapEx and how much is remaining, as of year-end?
Angeliki Frangou: There is about $47 million that is spent and together, I don’t it’s show that we have a liquidity line of $42 million and together with the cash and our balances, we are able to comfortably conclude the construction.
Operator: Our last question comes from the line of Chris Wetherbee of Citi.
Unidentified Analyst: Good morning, this is Prashant Singh [ph] for Chris. I guess my first question -- I appreciate the positioning you have in terms of liquidity in this environment. Just wanted to know if asset sales are completely off the table or is that an option, if the market versus that you would open up -- be open to explore?
Angeliki Frangou: I think to have asset sales in this environment is I don’t think producing of the results. I think one of the things you should see is how we have positioned Navios with our revenue and cash strategy. In -- up in the time of last year what we did is fixed asset and have about -- over 76% fixed for the first half of the year. So, in essence, this very low part of the cycle with rate really went below OpEx, we are really protected with rates and counterparties, very strong counterparties during this period. So, by having the strategy, we have isolated Navios from this very severe point in the cycle. We have very few vessels open in this environment. So, I think that we have seen that after the Chinese New Year, there is more economic activity. I mean the vessels, in every market in January and February I think we see a more normalized environment and we will be working how to develop and that will give us -- one thing I will say that the things should go to a more normalized OpEx level.
Unidentified Analyst: And then just a broader market question, what percent of the dry bulk fleet do you think is laid up right up and is there an assumption that you’re using in your outlook for a percentage that remains laid up this year?
Angeliki Frangou: They don’t really -- I mean we have really gone to real review going physically because we have seen the -- we don’t need it for ourselves but because this environment, we’re fixed. But we really reviewed every location possible for calling up, which is a real savings. And going through in Asia and in Europe positions where except [ph] they are there, you really have seen -- you have not seen a huge amount, you have seen Supramax standardize as they grow full layup. And we have seen some semi layup, core [ph] layup which is really a new split on the capes. Various conversations of up to 90 vessels but you’re not really sure that vessel waits for this. The core [ph] layup is really the mover because it takes it permanently. It has not really happened very much on the Capesize, it’s mostly around the Supramaxes. And I won’t believe that this really is the driver of this market. What is a driver is scrap. And scrapping is unique. You have negative fleet growth on capes this year, 27 capes scrap versus 21 delivered. And don’t forget that January, February is a heavy-duty month of delivery of the vessels. Everyone postpones for delivery now. The remaining of the year will have less deliveries. So, it is amazing that you have negative fleet growth on capes, and more importantly on Panamaxes. You have 34 Panamax scrap this year versus 31 deliver. I want to remind you capes last year was really negative fleet growth but Panamaxes, we had a net addition of 28 vessels. So, what it gives us today that on a quarter that you should be very heavy on deliveries is really coming surprising and the scrapping will be quite significant. I mean we see numbers growing on negative fleet growth and that will be the driver.
Unidentified Analyst: And do you expect that the scrapping will persist and even if we start to see rates inflect a little bit? I just wanted to get a sense if the environment is a little different. Last year we had heated scrapping and rates rebounded a little bit and maybe it was little bit too encouraging perhaps to operate it as the environment is substantially different you think now such that we will see that scrapping plough through the year even if rates do inflect?
Angeliki Frangou: You have to realize that scrapping has continued even to [indiscernible] vessels. I mean we had 30 million last year; this year you’ll continue to have -- I mean, the record scrapping of 53 million and last year was 30 million. So, it’s not that we are very far. This year, you have actually gone too much younger vessels. And this is something that you will see the pool of assets is going to be quite significant. And so, you can see easily numbers that each of -- over 40 million deadweight tons of scrap. 
Unidentified Analyst: Just one final question, sort of housekeeping, in terms of buyback given the share price you guys had a -- I think, it was 1.5 million shares this quarter. Can we extrapolate from that in terms of run rate for this year or is there -- or should we hold off until there maybe some announcement?
Angeliki Frangou: I think you cannot extrapolate. I think we quoted today that strong is what the Company is looking. And I think the cash liquidity for running the Company for the next two years, the number is on priority
Unidentified Analyst: Okay, excellent. Thank you so much for the time and the answers.
Operator: Thank you. I’ll now return the call to Mrs. Angeliki Frangou for any additional or closing remarks.
Angeliki Frangou: Thank you. This completes our Q4 results for Navios Holdings.